Operator: Welcome to Orange's First Quarter 2015 Results Conference Call. The call will be hosted by Ramon Fernandez, Deputy CEO and Chief Financial and Strategy, with members of Orange executive committee for a Q&A session that will start after the presentation. Thank you and let me hand over to Ramon Fernandez.
Ramon Fernandez: Good morning. Thanks for joining our Q1 2015 results conference call. So, as just explained, I will present the main highlights from our Q1 performance and then with my colleagues from the executive committee we will go through the Q&A session. So let's move straight to slide 4 which gives you the essential information. You can see that for Q1 we have achieved a turnover of €9.7 billion. This is a drop limited to minus 0.9% compared to minus 3.8% in Q1 2014 and excluding regulation the Q1 decrease was only 0.3%. Our EBITDA reached €2.9 billion, representing 30.1% of revenues and this decrease of €55 million represents less than half the decrease of Q1 2014. It can be explained for the main part by the impact of regulation which accounts for €31 million and for the rest by our France, European and enterprise segments. Some other segments, especially Africa and the Middle East, but also international carrier activities, have improved their EBITDA compared to last year. Investments reached €1.2 billion, 12.3% of revenues. They have grown by 3% compared to last year, exclusively due to network CapEx and especially very high broadband fixed networks. The customer base reached 247 million customers, an increase of 10.9 million in one year and this increase is mainly supported by the growth of Africa and Middle East with more than 100 million customers. All segments had solid commercial results this quarter, especially on mobile contracts with 741,000 net adds across the Group which is quite a strong performance. So looking at these commercial performances, you can switch to the next slide and see that this very good stance has been supported by our ongoing very high broadband investment in fixed and mobile. Regarding mobile, we now have around 10 million 4G customers in Europe, excluding UK, with strong growth in all our European countries. Fiber also supported this momentum with 75,000 net adds in France and a doubling of the FTTH customers in Spain compared to the end of 2014. The Africa and Middle East customer base has also seen an increase of more than 3 million new customers. And finally new services such as Orange Money as well as cloud and security have kept their strong momentum. Turning to slide 6. You can see that the first quarter confirms the improved trend in the revenues witnessed across 2014. Excluding regulation revenues are once again almost stable. Looking at the main drivers, mobile services kept improving at minus 2.8% after minus 3.1% in Q4 of 2014 and minus 6.9% in Q1 2014. And this improved trend is mainly led by France and Belgium with Africa and the Middle East accelerating their growth momentum. We kept performing well in mobile equipment sales. They are up 17% in Q1, a rate which is similar to the one we had seen in Q4 2014. And this performance is mainly driven by France and Poland which started installment sales in 2014 but also the development of Slovakia with 56% of mobile equipment sales growth year on year. Turning to fixed services, we have a revenue trend at minus 1.4%, impacted by two opposing evolutions. First the decline of traditional fixed activities in France and Poland, partially offset by the growth of unbundling and private-public partnerships for fiber deployment in France. And second, in the other direction, the performance in broadband services at plus 2% with strong growth in Spain -- it's plus 9% in Spain -- and revenue increase also in France by 1.1%. Lastly, we can also see the ongoing improvement in the enterprise and others segment resulting from growth in international carrier activities and also ICT equipment in Poland. So all in all this limited decrease in revenues contributed to halving the EBITDA decrease compared to the first quarter of 2014 and this is illustrated in the next slide. Next slide you can see that this quarter EBITDA went down, as I said, by €55 million, a decrease more than halved compared to the minus €120 million in Q1 2014. And this good performance is the result of both a lower decrease in revenues that we have just seen and also a maintained effort on cost cutting despite an increase in the Middle East and Africa to support growth. The graphic at the top right provides more details on the EBITDA evolution compared to the first quarter of 2014. First, revenues were down by €90 million which is more than four times less the €387 million erosion we had seen in Q1 2014. Second, we continued to monitor our direct costs despite an increase in interconnection costs, mainly reflecting the good performance of our international carrier business, with higher wholesale traffic exchanged. Excluding interconnection costs, direct costs decreased by €10 million. Turning to indirect costs, they decreased by €71 million. It's even a decrease of €130 million if you exclude Middle East and Africa which is the same level of cost reduction as in the first quarter of 2014 in the rest of the Group. Looking at labor costs, we continued to reduce these costs, especially thanks to a 4.2% decrease in full-time employees. Overall these results allow us to fully reiterate our objective of an EBITDA between €11.9 billion and €12.1 billion for 2015. Next slide, slide number 8, looks at CapEx where we have a €1.2 billion effort this quarter. This is up 3% year on year, an increase of €35 million and the CapEx to sales ratio increasing by 0.5 points to 12.3% of revenues. This is evidently totally in line with our announced strategy to advance our network differentiation versus our competitors in order to offer an unmatched customer experience. In fixed we increased our investment in fiber. We now have 3.9 million connectable homes in France. This is plus 43% year on year. And we also have 0.9 million connectable homes in Spain and 100,000 in Poland. In mobile we're leading the 4G race in France. We have 76% of population covered which is plus 18 points compared to the first quarter of 2014. In Spain we cover 73% of the population, in Poland 72%, in Belgium 92% which is around two times more than one year ago. And in Romania we cover 65% of the population and we also focused our investments on indoor coverage and also some specific areas such as highways in order to improve customer experience. The 3G was launched this quarter in Iraq and Cameroon. We have 18 countries covered out of 19 in Africa Middle East with 3G and we also obtained a 4G license in Jordan. Now I would like to talk about the performance of our different segments with a bit more detail and, as you know, we're now communicating on the new segmentation which will increase visibility of our activities with Europe and Africa Middle East becoming two distinct segments. So I will start as usual with France on slide 10 where the first quarter has confirmed the improvement in revenue trends thanks to both an improvement in mobile services and also an increase in fixed broadband and wholesale business. The fixed broadband customer base growth driven by fiber and also thanks to pay TV usages development have boosted broadband revenues growth to 1.1% in Q1. At the same time wholesale revenues continued to grow at a strong pace supported by unbundled lines growth, this is 3.6% and PPPs on very high broadband. Fixed broadband and wholesale revenues have almost compensated for the legacy voice decrease. Total revenue had a positive evolution, as I said and this was also strongly linked to mobile services. The back book repricing impact has softened as 91% of mobile customers are now on post-April 2013 tariff plans, also with the mix of premium customers improving. We have SIM-only offers penetration which are still impacting revenues with 39% of our customers having migrated to SIM-only offers. This is 12 points more than one year before. And globally you can see on this chart that the ARPU evolution trend is improving with revenue decrease halving in absolute terms comparing to the first quarter of 2014. So we expect this better ARPU trend to continue. And finally, equipment sales were still driven by SIM-only offers and also the success of the iPhone. So looking at the commercial performance, let's have a look at the mobile market on the next slide. Here you can see an excellent first quarter, confirming the strong performance of previous quarters. In the B2B market we have won back some contracts while in B2C the customer mix improved again. We have more than 60% of gross adds on premium offers. Also both markets benefited from 4G. We gained 800,000 new 4G customers in the first quarter and we also observed an increase, not only on the average data consumption of our customers but also in the number of customers who use mobile data on a daily basis. And lastly, the performance and the quality of our network were recognized by our customers and contributed to improving once again the level of churn which, you can see the little blue dots, was at its lowest since 2010 at 14.2%. Turning to fixed, we have a good performance here, a very good performance indeed for a first quarter. On fixed broadband it had not been that high since 2009 and it's fully supported by our fiber strategy with 75,000 FTTH net adds, half of which are new Orange customers. Globally the broadband customer base has increased by 2.8% year on year with more and more customers opting for a convergent offer. Nearly half of our BB broadband customer base is on a quad play offer leading to a decrease in the churn rate despite of course price pressure on the market. Finally, as presented at our investor day, we continue to roll out our fiber network with, as I said, around 4 million connectable homes. And the number of fiber customers divided by the connectable homes has increased by three points in one year with a ratio of more than 16% in the first quarter. Next slide looks at Europe as a whole which as I said is now a dedicated segment. Europe accounts for a quarter of Group revenues with revenues down by only 1.5% year on year excluding regulation. More than 60% of these revenues came from mobile services revenues with an improving trend over the last quarters supported by the positive volume effect of plus 169,000 postpaid net adds in Spain and plus 48,000 in Poland in the first quarter. We have also an element on Romania here in order to illustrate our approach to convergence where we're currently mobile only. And you can see that our TV customer base grew by 21% in this quarter. Turning to Spain. In the first quarter Orange Spain achieved a strong commercial performance, driven by mobile in fixed very high broadband and also by convergence. Orange maintains a strong commercial performance in 4G. In the first quarter we have 600,000 new customers and a fiber customer base multiplied by two in the quarter with up to 113,000 customers. As regards revenues in Spain, mobile service revenues eroded by 9.6% in Q1 after 12.6% in the full year 2014 as repricing to SIM-only tariffs is almost completed. In Spain SIM-only tariffs account for 92% of the contract base. This is 30 points more year on year. And fixed services revenues improved by 4.6% in the first quarter, supported by a continuous growth of the fixed broadband customer base, up 13.4% in one year. So at the end of Q1 in Spain 80% of the fixed broadband base is convergent. One word on Jazztel. We're now expecting the final decision of the European Commission by the end of May and we consider that our current proposal is a balanced solution between value creation for Orange and also the interests of the Spanish telecom market. So we're on track and as expected we will be in a position to close this deal by the summer. Turning to Poland, mobile service revenues kept on improving for the third quarter in a row. Now it's minus 4.9%. It was minus 5.3% last quarter. And this was mainly supported by a plus 1.7% increase in prepaid ARPU and secondly by a plus 5% year on year increase in our postpaid base. The trend in fixed revenues improves also. It's only minus 8% this quarter. It was minus 10% last quarter. And this came as a result of several factors, namely first continuous growth in our very high broadband base, with our main effort currently focusing on migrating our ADSL base to VSN and FTTH. Second, the continuing effectiveness of our convergence strategy. We have 52,000 net adds in open customers this quarter, resulting in a 27% penetration in our xDSL base. And, last but not least, we have a plus 0.5% upturn in our broadband ARPU reflecting and improving customer mix. Last point on Poland that you can see here, in Q1 our fixed broadband gross adds increased 14% in the newly deregulated areas and we had 28,000 homes passed in fiber added this quarter with a total now reaching 106,000 clients in fiber. Let's now turn to the Belgium and Luxemburg sub-segments which we're presenting for the first time in a dedicated slide, so Mobistar Group. Q1 was a quite encouraging quarter with overall revenues improving again for the fifth quarter in a row. We have a minus 2.7% excluding regulation in terms of revenues -- it was 9.2% last quarter -- with mobile services remaining slightly positive if you exclude regulation for the second quarter in a row. Looking at mobile KPIs, postpaid net adds excluding M2M stabilized in B2C while the trend continued to improve in B2B, ending close to breakeven point. Postpaid ARPU in Belgium went up 4% year on year while it was growing only 1.9% in the last quarter. In addition Mobistar made good progress this quarter in its strategy to create the levers for future growth, first maintaining its leadership in 4G with a population coverage of 92% outdoor and 72% indoor. So it's a very strong performance. And second, this service superiority supported growth in the 4G postpaid base which is up 19% this quarter and now reaching one out of four postpaid subscribers in mobile. Of course we have seen also some activity on the Belgian market and, as far as Telenet's intention to acquire Base is concerned, we think that this acquisition paves the way for obviously consolidation on the Belgian market with Mobistar intending to play clearly a role there. And on top of that we also think that this should lead the regulator to be even more favorable to implement fair regulated wholesale access conditions to cable which is, as you know, the avenue we're following in order to penetrate the fixed market with Mobistar. Let's conclude this review of the Europe segment with the other European countries sub-segment. Now it's Romania, Slovakia, Moldova and Armenia. Excluding regulation overall revenues improved sequentially again to 4.5%. This is plus 4.5% year on year, with three countries out of four posting improvement compared to last quarter and also a reduced churn compared to one year ago. Mobile revenues improved slightly at minus 6% this quarter, being the third in a row of year on year performance improvement. I'm now turning to slide 18 where here also it's the first time we present our Africa and Middle East operations as a specific communication segment. Some details related to our listed subsidiaries cannot be provided today because these companies have not published their figures yet but this will be coming soon. Revenue in Africa Middle East grew by 6.8% in Q1 which is strong and out of 13 consolidated countries 6 have a double-digit growth. And this performance was mainly driven by Ivory Coast, Egypt, Mali, Congo and Guinea. And here we can highlight two main drivers to explain this revenue performance. First, our customer base went up by 3.1 million customers in the first quarter and compared to last year we have 10% more customers. And, as I said at the beginning of this call, we now manage more than 100 million mobile customers in the region. Second, it's interesting to see that half of the mobile services growth came from data which revenues increased by 63% year on year. We have also successfully launched 4G in Botswana this quarter and the next launch will be in Jordan before the end of the semester. And Orange Money is still growing with now more than 13.3 million customers. These first quarter results in Africa clearly confirm our ambition to increase revenues by around 5% in 2015. In the enterprise segment the revenue trend of our legacy activities was in line with 2014 with a slight growth in our international activities. In the voice segment PSTN lines continued to decrease but at a reduced base compared to the first quarter of 2014, while we have voice over IP revenues maintaining a positive growth, driven by several contract extensions signed at the end of 2014. Data services continued to grow in volume in Q1, partially compensating price pressure on IPVPN. And lastly, IT services were impacted by some deliverables phasing in France but new services such as security and cloud continued to show very significant revenue growth with plus 30% and 26% respectively. So 30% security and 26% on cloud, as you can see on the slide. And as announced during our investor day, these new services will remain a key focus for us, for the Group in the coming years. So I'm going to close this presentation before going to the Q&A session with our guidance for 2015. With these very solid results we confirm totally the 2015 guidance that we had announced in February. We reiterate our guidance of a restated EBITDA between €11.9 billion and €12.1 billion. This is our objective and it's going to be supported by what we have seen on revenues and also by our ongoing efforts on our cost structure. And we will continue to work to maintain our full year EBITDA margin stable. We also maintain our objective to keep our net debt to EBITDA ratio at around 2 in the medium term. Concerning the dividend for 2015, we confirm our proposal to keep it at €0.60 and an interim dividend of €0.20 will be paid by the end of the year for 2015. I recall that on June 10 this year we will pay the balance of the 2014 dividend; this is €0.40. And regarding portfolio management, you know that we have already announced and we're managing the EE and Jazztel operations. I already said something on Jazztel and EE is also going on its way. And we will continue a selective development and portfolio management policy with always a focus on the zones where we're already present. So thank you very much for your attention and we're now all ready with all my colleagues around the table to take your questions.
Operator: [Operator Instructions]. We will take our first question from Nicolas Cote-Colisson from HSBC. Please go ahead.
Nicolas Cote-Colisson: Two questions please. First one is just a follow-up on your comment on Mobistar. What makes you confident that you can take part in consolidation there? Have you found a way to convince [indiscernible] to sell? And my second question is regarding your fiber strategy. I was wondering what has been discussed with the Government last week and does it change any of your plans in terms of roll-out and have you seen also a growing commitment for co-investment from Iliad and SFR? Thank you.
Gervais Pellissier: Gervais Pellissier. So I will answer the question on Mobistar. First actually there is no definitive answer today. Let's be clear, we're evaluating the consequences of the buyout of Base by Telenet. First point, this is actually an antitrust case that will be reviewed by the European Commission and probably with some remedies that might be asked by the parties we'll see what we do on this sense. The second point is that just to remind everybody that the Belgian market remains fragmented in terms of fixed operators by geography with the well-known operators in the south and Brussels in the middle, especially including the whole of Altice in Brussels. So which means that in terms of cooperation, partnership and I would say definition of combined offers, there are several possibilities that will be reviewed by Mobistar management with the support of Orange.
Pierre Louette: For the fiber discussion last Friday with the minister, I'm afraid I cannot reveal everything otherwise I would have to shoot you probably. But let's give you a general overview what has been discussed. So the main confirmation we had was the fact that obviously Numbericable-SFR is not going to invest in fiber where they already have cable. This has been expressed really clearly with the minister. That was the first information we knew before the conversation but it was not so clear for the minister. Second information also was the clarification of the difference between FTTLA and FTTH and it was made very clear that there is the real fiber that goes to the very end of the line and to the very consumer and there is another fiber which then transforms itself into cable and that's a pretty different technique. That was also pretty new for the minister and I think he understood the difference as well as the consumers will. And the third point probably was the confirmation that we're going to do what we had declared we were going to do. We're going to do even more because we're going to take over what SFR is not going to do in certain areas like the AMII less dense areas in which they will keep the cable and not take the commitments from SFR. So we will do a bit more and we also can confirm that we're going to receive major contributions and increased contributions from two players. Bouygues Telecom and Iliad Free will increase their contribution to the funding of the fiber which really gives a lot of strength to our business case for fiber.
Nicolas Cote-Colisson: So I suspect it doesn't change your wholesale revenue forecast that you are expecting from co-investment then?
Pierre Louette: It adds to the revenues. It adds to the co-funding revenues we're going to get so it adds strength to the fiber business case. It helps a lot really.
Operator: Thank you. We will take our next question from San Dhillon in RBC. Please go ahead. 
San Dhillon: A couple of questions. Firstly on Spain, the underlying mobile service revenue growth deteriorated in the quarter which was surprising given the positive commentary from the likes of Telefonica and Vodafone regarding the improved competition in pricing in Spain. Can you give some color on how you expect the service revenue performance to trend for the remainder of the year and beyond for Orange? And secondly on France, you noted in the presentation that the EU roaming cuts have impacted revenues and EBITDA. Could you remind us how much of your mobile revenues in France are generated from roaming? Thank you.
Gervais Pellissier: Regarding Spain, two comments. One is that when we look at the trend in terms of net adds clearly Orange remains, I would say, the one with the lowest negative performance amongst the incumbents when you look at the picture for the last three months which means that neither Telefonica nor Vodafone Ono are acquiring customers in mobile. They are with negative trends. Regarding the pricing evolution, two comments. One, we still see a move towards convergence, so penetration for all convergent offers [indiscernible] which represents a discount versus the initial price. And the rest of the acquisitions are mainly done under our sub-brands [indiscernible] with lower rates. Which means that the trend remains a trend of ARPU pressure, at least we think for the whole year 2015, with probably some improvement in the second half. But we think that all the moves we see around I would say price, price lists, change of price list, stabilization from market will probably produce results but in the next months, not immediately.
San Dhillon: Great. And on the French roaming question?
Delphine Ernotte Cunci: Yes. So I understand your question as the impact on the roaming out France, not the roaming in. So the fact that the tariff decreased in the data plans and in voice plans for roaming. So of course we had anticipated a decrease in revenues on the roaming. But the fact is that it's rather better than expected because we also see an increase in consumption of roaming tariff plans. So it's rather better than expected on the roaming side.
Operator: Our next question comes from Dimitri Kallianiotis in Redburn. Please go ahead.
Dimitri Kallianiotis: I've got three questions please. In terms of the FiberNet added net additions which have been strong, I was wondering if you expect that trend to even accelerate as you're increasing your spending terms of CapEx and SFR is probably not going to do much. And also if you could give us any expectations on your market share of broadband and net additions for the year. I know you expect that you reach 25% in Q1. Q1 is always a relatively weak quarter so I was just wondering what you think for the full year. And then regarding also the just management changes. First, congratulations to Delphine for her new job. I was just wondering in terms of France, I know Stephane is going to be now the head. I was just wondering if it's an interim solution or if it's going to be definitive and if we should expect any more management changes in France? Thank you.
Delphine Ernotte Cunci: And so on FiberNet adds we, of course we expect it to accelerate and our target is 1 million customers at the end of the year. On the second point, maybe Ramon want to answer, or I can. Well, Stephane has decided to take direct control of Orange France, but it's just a transition phase and I guess he will soon announce a new Head of Orange France.
Operator: Thank you. We will take our next question from Jakob Bluestone in Credit Suisse. Please go ahead. 
Jakob Bluestone: I've got three questions please. Firstly, just following on the market share of broadband net adds, could you just talk a little bit about what you've felt competitively during the quarter with the new set top box launches from Bouygues and Iliad? It doesn't look like there's a particular impact on your net adds market share. But was that just because it was late in the quarter and we'll expect more later in the quarter -- later in the year, or are you just not feeling very much from those two new offerings? Secondly, in your release you mentioned, in the mobile part of your release, the regaining of your fleet management business. Could you maybe just comment what was the impact from that? And then thirdly, just getting back to Spain, I'm just trying to understand a little bit more the slowdown in revenue growth for both fixed and mobile. You mentioned higher convergence and more SIM-only. But I guess those were applicable in Q4 as well. So what changed in Q1 to drive a slowdown in fixed and mobile revenue growth? Was it just that you had much stronger up-tick of convergent and SIM-only subs than in previous quarters, or just maybe a little bit more color? That would be quite helpful. Thanks.
Delphine Ernotte Cunci: Yes. So on broadband net adds, I just want to mention that it's a very good figure for us, because it's a very, very high net add market share for Q1 which is always quite low. So we see Bouygues and Iliad quite well performing on their trends. And SFR, Numbericable-SFR is from our point of view quite still suffering. You had also a question on the revenue trend. So what I want to point out is the fact that comparing year-on-year revenue trend in fact we have a drop in Q4 2013 in the revenues that explains that why Q4 2014 is quite high and maybe higher than expected in an economic view. What I want to say is that Q1 2015 is a very good performance with an continuing improvement on ARPU, year-on-year evolution, almost divided by two, the decrease of the revenue trend is divided by two on the mobile side. So we're very confident on ongoing improvement. Of course it depends on market conditions. But at same market conditions we're very, very confident.
Ramon Fernandez: Regarding Spain, maybe just to complement what I said to one of the previous questions. Two things. Regarding convergence, the fundamental which is continuing and I would say amplifying is the fact that now conversion customers take a second line. And this second line has been sold in this first quarter with the promotion which means that we're increasing the number of mobile lines per broadband customer and this creates an additional ARPU decrease on this, on the mobile part. Second point, in terms of split between, gross adds between I would say subsidized business and non-subsidized, we're now at 92% penetration of SIM-only in Spain which is for me the highest rate we have in Western Europe. And third, in terms of total revenue in the first quarter, we no longer have the benefit of the shift from subsidized to SIM-only we had the year before with strong handset sales through installment. We had the gross of 2% in Q1 2015, where gross was 11% in Q1 -- in first quarter 2014 which means that we're now at the end of the effect of transition between subsidized business and SIM-only plus installments. More or less now we have now full in terms of handsets sold through installments versus subsidized handsets.
Thierry Bonhomme: For your question on the mobile enterprise market and fleet management, Thierry Bonhomme speaking from Orange Business Services. Two answers. The first one is about the very huge win backs against competition for both public market and MNTs in France which are bringing growth in terms of net adds within the enterprise market. And second answer, about fleet management, where we recently released the acquisition of Ocean which is a French-based company which allows Orange Business Services with more than 100,000 connected vehicles in France to be the leader in this country which is a part of the strategic plan Essentials 2020 presented by Stephane Richard, with Internet-of-Things and machine-to-machine as key to being for growth within the enterprise market.
Operator: Thank you. Our next question comes from Wassil El Hebil in Berenberg. Please go ahead.
Wassil El Hebil: I have three, please, about France. The first one is about the price increases that Numbericable-SFR has introduced recently. I'm just wondering which kind of approach you will now take regarding that. Are you going to follow the same trends and slightly increase prices in triple play and mobile, or are you happy with your current strategy and prefer to focus on fiber investment and pushing for this offer at the same prices? The second question is about the fixed wholesale revenue. You used to give the split between -- of the fixed wholesale revenue growth between B2C versus B2B and VHBB. Can you please give some color on that? It seems that the growth has slightly declined, although ULL revenues remain strong. And third, the last question is about the Other revenue line in France. It seems that it has grown by around 15% on year-on-year basis in Q1 from €123 million to €141 million. What's driving this growth? Thank you.
Delphine Ernotte Cunci: The pricing strategy, I just want to point out the fact that we see SFR, Numbericable-SFR, putting in place exactly the same strategy we're running, we have been running for years. That means high, quite -- premium prices on high end and competitive prices on low end. So it's good news for us to see our competitor joining that type of strategy. So clearly we're going to continue on that type of strategy and stretching the difference between high-end offers and low-end offers.
Pierre Louette: Regarding the fixed wholesale revenues, we have a little bit of a slowdown in the local loop copper unbundling recently, but it's compensated by FTTH unbundling.
Ramon Fernandez: Could you repeat the third question? I'm not sure we got it right.
Wassil El Hebil: Yes, sorry. The third one is about the Other revenue line in the France segmentation. So excluding mobile services and fixed services. The amount was around €141 million in Q1 2015 compared to €123 million last year in Q1. So I'm just wondering why these Other revenues have increased by roughly €18 million on a year-on-year basis?
Delphine Ernotte Cunci: I think the difference is the revenues in terms of copper. We sell copper when we're dismantling it. So the difference is there.
Wassil El Hebil: Is it one-off-style revenue or should we expect this revenue stream to remain high?
Delphine Ernotte Cunci: No, there will be more copper. Yes, it's continued revenues.
Operator: Thank you. Our next question comes from Frederic Boulan in Bank of America Merrill Lynch. Please go ahead.
Frederic Boulan: Two questions please. Firstly, if you could discuss the actions you plan to implement -- to improve EBITDA for the rest of the year, considering you probably face some year-on-year decline from Iliad roaming contribution? And secondly on France and fixed pricing, you still see ARPU slightly down in Q1. Can you comment on your progress towards stabilizing ARPU first and then fixed revenue? At what stage, when do you expect FTTH growth will be big enough to swing up and back to growth? Thank you very much.
Ramon Fernandez: So on, this is Ramon on your first question. Well, this is the whole plan. We're once again absolutely confident that we will reach our EBITDA guidance. Why? Because we're acting both on the revenues side and on the costs side. You also have to be aware that there is profile during the year where if you look at, for instance, labor cost, if you look at roaming revenues during the summer, if you look at the regulatory impact, all these elements are contributing much more in a positive sense in the second half of the year. For instance, if you look at regulation, 80% of the expected -- of the impact of regulation is going to be in the first half of the year, for instance. So we're keeping our efforts on all avenues, as in the past year and the trend you are seeing in the first quarter, with an improvement in all our geographies, we have also discussed Africa, all this is fully in line with what we have committed to do this year. So it's keeping the same line on improving revenues and working on costs. And, once again, you have seen that if you exclude Africa, where you have a bit more indirect costs going with increasing revenues, we're delivering this quarter exactly the same effort as one year ago in the first quarter of 2014. And you have seen that the impact of cost revenues in full year 2014 was very, very significant. So all this is going to be continued and the progressive decline of roaming revenues from Iliad are totally in line with what we're expecting. Maybe, Delphine, on the other question?
Delphine Ernotte Cunci: Yes. On the broadband ARPU evolution, so you see on slide 10 that the trend is quite good. We have two effects. The first one is a better penetration on the convergence offer which is quite -- which is slightly decreasing the revenue. But on the other hand we have a better mix, much better mix and also an increase in content revenues. So thanks to those two effects, mix and content revenues, we expect to stabilize the broadband ARPU.
Operator: Thank you. We will take next question from Andrew Lee from Goldman Sachs. Please go ahead.
Andrew Lee: Just a couple of questions. Firstly, on the Africa and Middle East investments, the indirect cost investments that you highlighted on slide 7. Could you just talk us through what exactly this constitutes and when we should see the benefits of these greater indirect cost investments in revenues? And maybe if you could add kind of what level of investment we should expect in Africa and the Middle East through the rest of 2015? And then just secondly, your indirect cost reduction ex-Africa and Middle East, as you highlighted, was the same this quarter versus a year ago. Do you think you can sustain this level, this run rate, through 2015? And what else could offset this impact if it's not the Africa and Middle East investment? Thank you.
Marc Rennard: Three main reasons for the increasing of indirect cost. First of all, the number of sites, because we need more sites to flow our traffic. Secondly, the cost of energy that is increasing. And the third, some indirect tax. Those are the three main reasons that explain the growth of this cost. But at the end of the day we maintain stable, more or less stable EBITDA rate.
Ramon Fernandez: On your second question which is indirect cost more generally, we will see -- once again, I think we have demonstrated last year and the year before that we were in a position to deliver results in terms of cost reduction. You know that in terms of headcount our situation is going to help us sustain this effort and we're continuing to do this. If you look at France, for instance, we still aim at compensating most of the revenue decrease by costs reduction. And it was over 80% last year and we're not expecting performance to be lower this year. So you could more expect the reverse. So it's, once again, we're totally committed and everybody in the company has understood that in a very challenging environment we have to work on both sides. Improving the top line and we're engaging into a number of actions at Group level to go in this direction and we're achieving results even if these markets are challenging. And second, working on our cost base. So we're not going to change the fundamental line. The Chrysalid Program has been renewed. There are a number of very concrete initiatives which are being launched in the Group. We discussed them in March when we launched Essentials 2020. So we're working on all these issues in all our countries and you can be confident that the results will be there.
Andrew Lee: Could you just give us a bit of color on the split of sale sites, cellphone investment, energy cost and tax? How much did sale sites makeup of the €59 million in the quarter?
Ramon Fernandez: I think here maybe we should keep this kind of question for the half-year results because we're going into a level of granularity which is maybe a bit too much for quarterly results. But I will keep your question in mind and I promise I will give you some elements at the next quarter.
Operator: Thank you. Our next question comes from Louis Citroen in Arete Research. Please go ahead.
Louis Citroen: I had two on the 700 megahertz auction. The first one is on the potential that Iliad might get a block reserved. Could that trigger a legal challenge and then would it delay the auction? The second question is on the impact of this auction on consolidation. First, would there be a cut-off in terms of dates, if and from when consolidation could happen in light of this auction? And the second one is, do you think consolidation could still happen if Iliad gets 700 megahertz in the auction? Thank you very much.
Pierre Louette: So, first of all, regarding the reserved allocation of certain blocks to Iliad, this is something we made very clear with the government and ARCEP as a preliminary way. We will not accept this. It is not acceptable to even imagine that Iliad would be reserved certain elements of the auction since Iliad was perfectly in a situation to be a candidate for the 800 megahertz blocks last time. It was an open competition. They were there, they didn't play well, they didn't win much, so they lost. And now we feel we should not be put in a position in which the overall community would compensate for their miscalculation last time. So we have made it really clear that this was not possible at all. If it happened, of course it would trigger legal actions. They would probably not stop the release of the megahertz, but the legal actions would go on and with a certain capacity to be successful even today. So, regarding the agenda, we have no other information than the ones you have. ARCEP is still working on the proposal to be made to the government to describe the timeframe and also to discuss the separation between the moment when you pay for the megahertz you get and the moment you really get them. So this difference cannot be too vast, because that would also trigger other possible legal actions. And then your third point regarding the impact on consolidation if Iliad gets a block, I don't think it's completely of the essence now. There are several things that happened over last years, last year even, that have an impact on consolidation. The increasing merger of the networks between SFR and Bouygues is one of those things. It has created a new situation in a way. The access of Iliad to megahertz spectrum resources, I don't think would in a major way change the situation. The situation is still a discussion that has to happen or not to happen between Martin Bouygues and a potential buyer. So this is I think the analysis we have today.
Operator: Thank you. Our next question comes from Nawar Cristini in Nomura. Please go ahead.
Nawar Cristini: I have two left. So firstly, just coming back to Iliad roaming, could you update us on your latest expectation over Iliad's roaming revenues in 2015 versus 2014? And could you give us a bit of color on the saving of the decline you are expecting this year? And secondly, the market seems to be moving toward Android-based boxes in the low end. What is your take on this? And do you think that the box still make a difference in this purchasing decision for consumers or is it a commodity now given the number of good boxes out there? Thank you very much.
Ramon Fernandez: So regarding the revenues from the roaming agreement with Iliad, we have a continuous policy not to communicate on the exact figures. What we can tell you that we will expect a slight, very slight decrease actually, in 2015 and more decrease to come in 2016. The interesting point being that this decrease in 2015 is pretty slight which means that Iliad still has a lot of traffic on our network which is also an interesting point to bear in mind. That's what we can say on the coming figures.
Delphine Ernotte Cunci: On the boxes and the question about Android, it's not our choice to launch an Android box. So we're quite clear with that. So we may make some announcement on new boxes at the end of the year, but nothing Android.
Nawar Cristini: And just a follow-up actually. How important is the box today in the purchasing decision for French customers?
Delphine Ernotte Cunci: From a consumer point of view, the box is at the same time the box and the network behind the box. And what we see is that first of all they want something that works, with a good quality of service, a good speed and that's really key. That's why we're investing so much in fiber. And the third point which is very important for consumers is the functionality of the box. For them the box is at the same time the box, the network and the user interface. That's why at Orange we decided to invest on the user interface which is the box for the consumer. And we've launched what we call the Project Polaris last year, with quite a success. And it enables consumers to have exactly the same user interface on the TV set, on the tablet, on the smartphone and that's the box for consumers.
Operator: Thank you. We will take our next question from Vincent Maulay in Oddo. Please go ahead.
Vincent Maulay: Actually two follow-ups. The first one on cost reduction because I had in mind that comparison basis would be more demanding the quarters coming with a big effort made quarter after quarter in 2014. So you seem to be quite confident in the reason of the savings in the quarters coming so I'm interested in some examples, some color on this subject. And a second follow-up on the pricing in France. Why not being bolder in revising up some pricing to benefit from SFR discipline in fiber and your premium in mobile? So typically so far pricing in fiber is in line with ADSL apart for the open. So would it be bolder in the future?
Delphine Ernotte Cunci: On the pricing, we have exactly that strategy, to have higher prices on high-end offer and high-end consumers. And when you look at the prices today on the market, Orange is still with higher prices than the competition on premium offers. But definitely we're going to increase that strategy. And thanks to our new strategic plan, thanks to the project we're going to launch, with Essentials 2020, we have the conviction and the ability to increase, to stretch that differentiation between high-end customers and low-end customers.
Ramon Fernandez: On costs I think and we said quite a lot in March and I understand that we need to continue explaining again and again, but once again look at what we have done in 2013 and 2014 and assume that we're not reducing our commitment in terms of working on our cost basis. If you look at direct costs, they are for instance with the progress of digitalization, with the internalization of commercial acts, you have a positive impact on direct costs which will help us to reduce our commercial costs, for instance which had been quite significant at the end of 2014 in order to sustain the commercial performance. So the SIM-only process which, as you have seen in Spain now, the market is nearly 100% SIM-only market. In France 39% of our customer base is also SIM-only and it's 67% of new customers. So all this is contributing to providing some, let's say, less pressure on direct costs etcetera. And then if you look at indirect costs, there we're once again continuing on all our lines to be extremely attentive, rigorous, I don't know what is the best word to use. But the reality is the thing. And this includes labor costs, as I already said, but not only. So this is a very systematic approach we have in the company. We're also working on mutualization, network sharing. You have seen some very concrete steps we have taken in some countries and you can get ready to see more in this category. So once again, then in terms of absolute figures, we delivered more than €700 million in cost reduction in 2014. We will see what is the final result in 2015. As we said repeatedly, references are not always the same so you should not expect to see the same absolute figures time and again. But some elements are also going in the good direction. I, for instance, recalled that in terms of regulatory impact, we would have essentially all the impact on the first half of the year and then it would be nearly totally over and then it would be over. We expect roughly to have a €100 million impact from regulation on our revenues this year which is much lower than in the previous years and then it will be over. So this is also, when you look at the evolution of costs, this also has to be taken into account.
Operator: Thank you. Our last question comes from Jerry Dellis in Jefferies. Please go ahead.
Jerry Dellis: A feature of last year's results was that obviously the investment in commercial costs in France steadily increased during the year. Has that now stabilized or eased off a little bit at the start of 2015? And secondly, in terms of French revenue trends, rather an improving picture in recent quarters, but do you think that the French revenue trend will continue to improve through the balance of the year? And then finally briefly if I may, on competitor FTTH, you've seen the volume of competitor activity not necessarily in connections today but in the sort of reservation activity that you may be seeing in the run-up. Are you seeing that increasing gradually? Thank you.
Delphine Ernotte Cunci: So on direct cost and commercial cost, we've managed to decrease the commercial cost. We're maintaining the unitary subsidy for high-end customers and really dramatically reducing subsidies on the low-end market thanks to installment mainly. On the French revenue trend, yes, we expect it to improve of course thanks to an improvement in the mobile revenue trend as well as fixed revenue trend. On FTTH, I'm not sure I got your question. It was about the competitors' activity, maybe for Pierre?
Pierre Louette: Thank you Delphine. Their activity is very differentiated. We occupy a very central position in the deployment of fiber. That's point number one. We have a very dominant -- I wouldn't want to say that word actually, but we have a very strong commercial position in terms of conquering new customers with over 60% of market share today. So it's something extremely strong. Then we see a little bit of a slowing and now it's getting better for them on the Numbericable-SFR side whereas they are very weak on mobile, but we have to see there, witness that they're not too bad on fixed. And, as I mentioned previously, we have a confirmation now of the revived interest that Bouygues Telecom and Iliad see will have in co-funding fiber in order for them to access to a possible commercialization of fiber plugs in the country. So that's the situation of fiber now.
Ramon Fernandez: Okay. I think we have, if I'm not wrong, no more questions. Maybe just as a final wrap-up if I may, just to reconfirm to you that there is absolutely no change to our guidance, that we're confirming fully our guidance for EBITDA between €11.9 billion and €12.1 billion in 2015. We're extremely confident that we will achieve it. And what is true and that maybe some of you had not fully understood, is that we're going to see probably two different trends of EBITDA contributions in 2015, with the second part of the year stronger than the first one for different reasons. We have discussed a number of them, including, for instance, the impact of regulation which is front-loaded, including because in certain European countries the second part of the year will be easier than the first. Some of you have discussed what was currently happening in Spain. Africa is also working very well. This was the last question on commercial costs -- which should be clearly lower in the second part of 2015 than in the second part of 2014. The last question was precisely alluding to this and Delphine answered. So I think you have to be also aware of this profile. And, once again, we're, based on what we have seen on the first quarter, very much confident that we will fully achieve all our objectives this year with very good commercial success in all our countries and good results. So thanks very much to all of you and we will be happy to follow up with discussion in various forms at the next quarter. Thank you. Bye, bye.
Operator: That will conclude today's conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.